Operator: Thank you. Please go ahead. Good morning, everyone. Thank you for joining us, and welcome to Integer Holdings Corporation's first quarter 2025 Earnings Conference Call. With me today are Joe Dziedzic, President and Chief Executive Officer; Peyman Kales, President and CEO Elect, and Chief Operating Officer; Diron Smith, Executive Vice President and Chief Financial Officer; and Kristen Stewart, Director of Investor Relations. As a reminder, the results and data we discussed today reflect the consolidated results of Integer Holdings Corporation for the periods indicated. During our call, we will discuss some non-GAAP financial measures. For reconciliation of non-GAAP financial measures, please refer to the appendix of today's presentation, today's earnings press release, and the trending schedules, which are available on our website at integer.net. Please note that today's presentation includes forward-looking statements. Please refer to the company's SEC filings for a discussion of the risk factors that could cause our actual results to differ materially. On today's call, Joe will provide his opening comments, Diron will then review our adjusted financial results for the first quarter of 2025 and provide an update for the full year 2025 outlook. Joe will come back and provide his closing remarks, and then we'll open up the call for your questions. With that, let me turn the call over to Joe.
Joe Dziedzic: Thank you, Sanjeev. Thank you to everyone for joining the call today. Before we discuss our first quarter results, I want to comment on the planned CEO succession we announced today. I am incredibly proud of what we have built at Integer Holdings Corporation during my eight years as CEO. We have a clear vision, a compelling growth strategy, and a strong values-based culture. The business is delivering for customers, patients, associates, and shareholders. We have a ReadyNow CEO in Peyman Kales. He has been an integral part of developing and executing Integer Holdings Corporation's strategy and the creation of our high-performance culture. Peyman led our cardiovascular business for seven years and delivered outstanding results, including doubling the C and D sales while improving profitability. We have expanded Peyman's responsibilities over time as part of our leadership development plans, including overseeing the CNB, and CRM and N businesses as COO. Now is the right time for the business to transition the CEO role to Peyman from a position of strength. I am confident Peyman will build on Integer Holdings Corporation's track record of success, and I look forward to retiring later this year when I will begin exploring the world with my wife and spending more time with family and friends. This transition will be effective on October 24, 2025, and I will then stay on as an adviser through March 31, 2026. I'll hand the call over to Peyman for a few words.
Peyman Kales: Thank you, Joe. I'm thrilled to be named President and CEO at this exciting time for Integer Holdings Corporation. I would like to thank you and the board for having faith in me to lead this amazing company into our next chapter. We have a lot of momentum in the business as we continue to build differentiated capabilities and collaborate closely with our customers to deliver innovative medical device technologies to patients around the globe. I look forward to partnering with Joe over the coming months to prepare for the transition while we continue to focus on executing our strategy. Now I'll turn the call back to you.
Joe Dziedzic: Thank you, Peyman. Let's look at our first quarter results. In the first quarter, we delivered strong performance with sales increasing 7% year over year on a reported basis and increasing 6% on an organic basis. Our adjusted operating income grew 14% as we improved our gross margin rate and leveraged our operating expenses. We are reiterating our February 2025 sales outlook of 8% to 10% reported growth and 6% to 8% organic growth. We are confident in our ability to deliver strong sales growth given our high visibility to customer demand, including ramping programs in high-growth markets. We are also reiterating our adjusted operating income outlook of 11% to 16% growth year over year. This includes a $1 to $5 million estimated tariff impact. We are raising our adjusted earnings per share outlook by $0.31 to include the benefit of our March convertible note offering. This represents strong adjusted EPS growth of 16% to 23%. The strong execution of our strategy by all Integer Holdings Corporation associates is enabling us to sustain above-market growth and expand our margins. We also continue to execute our inorganic growth strategy while continuing to manage our debt leverage within our target range of 2.5 to 3.5 times EBITDA. During the first quarter, we completed two tuck-in acquisitions, Precision Coating and BSI PERILING, which increased Integer Holdings Corporation's service offering to include differentiated and proprietary coating capabilities. It's an exciting time at Integer Holdings Corporation because we have a strong pipeline of new products concentrated in faster-growing end markets. Our margins are expanding as a result of our manufacturing and business excellence initiatives, and we continue to acquire and integrate tuck-in acquisitions that add or compound differentiated capabilities. I am grateful for our associates around the world who are delivering for customers and making a difference for patients. I'll now turn the call over to Diron.
Diron Smith: Thank you, Joe. Good morning, everyone, and thank you again for joining today's call. I'll provide more details on our first quarter 2025 financial results and provide an update on our 2025 outlook. In February, we delivered strong financial results. Sales totaled $437 million, reflecting 7% year-over-year growth on a reported basis and 6% on an organic basis. Organic sales growth removes the impact of our Precision and VSI acquisition in the first quarter of 2025, the strategic exit of the portable medical market announced in February 2022, and foreign currency fluctuations. We delivered $92 million of adjusted EBITDA, up $12 million compared to the prior year, or an increase of 14%. Adjusted operating income also grew 14% versus last year, or two times sales growth, as we continue to make progress on our year-over-year margin expansion. Adjusted operating income as a percent of sales expanded approximately 100 basis points year over year to 16.2%, nearly 70 basis points from gross margin and 30 basis points from operating expense leverage. Adjusted net income for the first quarter of 2025 was $46 million, up 19% year over year, while adjusted earnings per share totaled $1.31, up 15% from the same period last year. Cardio and vascular sales increased 17% in February, driven by new product ramps in electrophysiology, incremental sales related to the Precision and BSI acquisitions, partially offset by the impact of fewer shipping days in the first quarter of 2025 versus the first quarter of 2024. On a trailing four-quarter basis, C and V sales increased 14% year over year with strong growth across targeted C and D markets driven by electrophysiology and structural heart, as well as the contribution from acquisitions. For the full year 2025, we expect CNV sales to grow in the mid-teens compared to the full year of 2024. Cardiac rhythm management and neuromodulation sales increased 2% in the first quarter of 2025, driven by strong growth from emerging PMA customers in neuromodulation and normalized growth in CRM. This was partially offset by the impact of fewer shipping days on a year-over-year basis. On a trailing four-quarter basis, CRM and N sales increased 6% year over year, driven by strong growth from emerging PMA customers in neuromodulation and low single-digit growth in cardiac rhythm management. For the full year 2025, we continue to expect CRM and N to grow low to mid-single digits as compared to the prior year. Product line detail for other markets is included in the appendix of the presentation, which can be found on our website at integer.net. In February, we delivered $46 million of adjusted net income, up $7 million versus a year ago, which was driven by operational improvements. As FX, interest, and tax had a negligible impact on a year-over-year basis. Operational drivers include higher sales volume, manufacturing efficiencies, operating expense management, expanding margins, and acquisition performance. Our adjusted effective tax rate was 17.4% for February, down from 18.1% in the prior year. We continue to expect our adjusted effective tax rate to be within a range of 19% to 21% for the full year 2025. Our first quarter adjusted earnings per share is impacted by both higher adjusted net income and higher adjusted weighted average shares outstanding. The year-over-year increase in adjusted weighted average shares outstanding drove approximately $0.04 reduction to our adjusted EPS. This is primarily due to the strong performance of the Integer Holdings Corporation stock price and the resulting dilutive effect of our 2028 convertible notes. In the first quarter of 2025, we generated $31 million of cash flow from operations, up 35% from a year ago. This performance was driven by improved operational execution, primarily from higher sales and improved margins. Our CapEx spend in the first quarter of 2025 was $25 million, which is in line with our full-year guidance. As a result, free cash flow was $6 million in the first quarter, an improvement of $12 million from the prior year. At the end of the first quarter, net total debt was $1.23 billion, which is a $275 million increase compared to the fourth quarter of 2024 ending balance, reflecting the acquisitions of Precision and VSI as well as costs associated with our convertible note offering. Our net total debt leverage at the end of the first quarter was 3.3 times trailing four-quarter adjusted EBITDA, within our strategic target range of 2.5 to 3.5 times. In March of 2025, we completed a strategic refinancing of our capital structure, which significantly increased the portion of our debt fixed at a sub-2% rate. We expect this structure to reduce our interest expense by approximately $13 million in 2025. This is reflected in the $0.31 increase to our full-year 2025 adjusted EPS outlook. Additionally, this structure creates revolver capacity, allowing us to support our tuck-in acquisition strategy. To refinance our debt, we issued $1 billion of convertible notes due in 2030 with a fixed coupon rate of 1.875% at a conversion premium of 27.5%. We used the proceeds to exchange nearly 77% of our in-the-money and outstanding 28% convertible notes due 2028, fully repay outstanding borrowings and accrued interest under our revolving credit facility, partially pay down our term loan A, and to purchase cap calls related to the notes to minimize the dilutive effect on shareholders by raising the effective conversion premium from 27.5% to 60%. Turning to our 2025 full-year outlook, we are reiterating our 2025 sales, adjusted EBITDA, and adjusted operating income outlook while raising our adjusted net income and adjusted earnings per share outlook. We continue to expect sales in the range of $1.806 billion to $1.88 billion, an increase of 8% to 10% versus last year. On an organic basis, we expect sales growth of 6% to 8%, which is approximately 200 basis points above our underlying market growth estimate of 4% to 6%. We reiterate our adjusted EBITDA outlook range between $401 million to $422 million, reflecting growth of 11% to 17%. We also continue to expect adjusted operating income between $315 million and $331 million, a growth of 11% to 16%. This is inclusive of our estimated tariff impact of $1 to $5 million for 2025. We are raising our adjusted net income outlook by $10 million, reflecting the impact of interest expense savings net of tax. We now expect adjusted net income to be between $218 million and $231 million, an increase of 19% to 26% versus 2024. This results in an adjusted EPS outlook between $6.15 and $6.51, which is a growth of 16% to 23% on a year-over-year basis, a raise of $0.31 compared to our February 2025 outlook. Our outlook assumes adjusted weighted average diluted shares outstanding of 35.5 million shares for both the second quarter and full year 2025. Our expected reported sales growth of 8% to 10% for 2025 includes inorganic growth of approximately $59 million from the Precision and VSI acquisitions, offset by an approximate $29 million decline from the previously announced portable medical exit, which is expected to be completed by the end of 2025. For February, we expect reported sales growth in the high single digits compared to February. We expect minimal inorganic sales contribution as the second quarter year-over-year impact from acquisitions is mostly offset by the year-over-year decline in Portable Medical, similar to the year-over-year impact in the first quarter. We continue to expect adjusted operating income as a percent of sales to expand throughout the remainder of 2025, driven by continued improvement in manufacturing efficiency and sales growth in our growth and operating costs. At the midpoint of outlook, adjusted operating income as a percent of sales is expected to expand 76 basis points in 2025 compared to the full year 2024. We have raised our outlook for cash flow from operations by $10 million to now be between $235 million to $255 million, which represents a 20% year-over-year increase at the midpoint of the outlook. Our outlook for capital expenditures is unchanged at $110 to $120 million as we continue to invest in capabilities and capacity. As a result, we now expect to generate free cash flow between $120 million and $140 million, a $10 million increase compared to our February 2025 outlook. We expect our 2025 year-end net total debt to be between $1.115 billion and $1.135 billion, reflecting the impact of our debt refinancing. We expect to end the year with a leverage ratio within our target range of 2.5 and 3.5 times trailing fourth-quarter adjusted EBITDA. With that, I'll turn the call back to Joe.
Joe Dziedzic: Thank you. Thanks, Diron. Our first quarter results demonstrate a strong start to the year. We have increased our full-year earnings per share outlook after a very convertible bond offering and are projecting adjusted EPS growth of 16% to 23%. We are executing our strategy and delivering on our three financial objectives of growing organically above the market while expanding margins and maintaining debt leverage between 2.5 to 3.5 times EBITDA. We are well-positioned for the promotion of an experienced Integer Holdings Corporation leader to the CEO role through a well-managed process over the next year. I have never been more confident in Integer Holdings Corporation, in our strategy, in our associates, and our ability to earn a valuation premium for shareholders. We will now turn the call over to our moderator for the Q&A portion of the call.
Operator: Thank you. In the interest of time, we ask that you please limit yourself to one question and one follow-up and rejoin the queue for additional questions. Thank you. Our first question will come from Brett Fishbin from KeyBanc. Please go ahead. Your line is open.
Brett Fishbin: Hey, guys. Thanks very much for taking the questions. And Joe, congratulations on the planned retirement. Just wanted to maybe start off with the news of the month around tariffs. I think we're pretty by the press release that you put out and was just interested in how you got to the $1 to $5 million estimate for impact on adjusted operating income. And maybe more specifically, how you were able to limit what you're expecting to see to that range based on some of your international footprint. Thank you.
Joe Dziedzic: Good morning, Brett. So thanks for the question. On tariffs, love to clear that one off the decks here. So $1 to $5 million remains our estimated impact for 2025. We're working to make that zero. It is included in our forecast, so there's no adjustments required. Our guidance incorporates this now. We think about tariffs in two different flows. We think about what we sell to customers and then what we buy from suppliers. And what we sell to customers, our customers manage the logistics of moving those products from our manufacturing facilities to their manufacturing facilities or to their distribution centers. So that's their responsibility. They pay the logistics. They manage that process. For what we buy, we manage the logistics, and we're responsible for the products from taking them from our supplier's location to wherever we are consuming those materials. And that mechanism of the buyer is typically the one responsible for managing and paying for the cost of moving product. It is what insulates us really well on what we sell, and then on what we buy, we still source primarily from the United States from United States-based suppliers. So that certainly insulates us from import tariffs. Of course, there are tariffs if there's tariffs on countries against product moving from the US into those countries because we have a global manufacturing footprint. There could be exposure there. And that's really what's driving our $1 to $5 million range. We source very, very little from China, so the very high tariff on imports to and from China impacts us in a negligible manner. And so that's how we're confident in our $1 to $5 million estimate. Again, we're working to make that as close to zero as possible.
Brett Fishbin: Alright. Thank you. And then just, for my follow-up, you know, maybe, like, the one area to nitpick a little bit on the quarter was just the deceleration in CRM and segment. So just curious if you could walk through what you saw in that segment this quarter, if there were any headwinds. And then maybe just more broadly, I think you might have commented like, low to mid-single-digit growth expectation for this year, which is a bit of a slowdown from the past couple of years as well. And maybe yeah. Just trying to think through, like, if that's the right run rate to think about longer term or if there are specific factors this year that are, you know, maybe, like, negatively impacting it versus the past couple. Thanks again.
Joe Dziedzic: Certainly. So I'll start with yeah. We delivered the high end of our sales guidance for the quarter, so we feel like we're doing our job in managing all the moving parts. And every quarter, there's always moving parts. And in this case, with CRM and in 2% growth, I'd start with we did have fewer selling days in the quarter, so that's a bit of a headwind when you look at all the sales across the board. But we had that factored into our guidance and our expectation. The emerging PMA customers continue to grow very nicely. We gave guidance that we expect the three to five-year outlook for that group of customers to grow in the 15% to 20% range, which is two times the market. Those customers, those products continue to grow nicely. CRM and in has normalized back to a low single-digit growth rate, especially when you adjust for the headwind on days. So CRM and N came in where we expected. You did see some strength in CMV where we continue to do well with our new product launches and helping customers get products to market quickly. That is where we continue to see strength, and we got us to the high end of our range. So no surprise from us for CRM and in aggregate. We ended at the high end of our sales guidance range. And on your question about low to mid-single digits, on a go-forward basis, I'd probably lean a little more towards the mid-single digit on a go-forward basis as the neuromodulation products become a higher percentage of that total. That will improve the mix and the growth rate for that segment as you look out over multiple years.
Brett Fishbin: Thanks, Brett.
Operator: Our next question comes from Craig Bijou from Bank of America. Please go ahead. Your line is open.
Craig Bijou: Hey, guys. Good morning. Thanks for taking the questions. Wanna start with C and D and obviously, nice growth there as you have been delivering for several quarters. You called out electrophysiology, and I know that's been an area of strength for you guys for a number of quarters. But I guess in the past, you've talked about how that growth, your own EP growth, has compared to the market, and you know, I think in the past, it's been ahead of what the market's growing. So basically, I just wanted to get your updated thoughts on how that growth is relative to the market, if that EP growth is maybe accelerating within CMB or if it's some of the other smaller but important areas that you've called out, like structural heart or even RDN now.
Joe Dziedzic: Sure. So we continue to see strong growth overall in the cardiovascular segment. You know, we've talked about the four targeted growth markets. Three of them are in cardiovascular, and we do continue to build that pipeline and launch new products. And electrophysiology does continue to outgrow the markets very nicely there. You know, we've reiterated that we participate in many steps in that procedure. It's not just the ablation step. And that volume growth in the industry is contributing to our growth. Via the pulse field ablation is also an opportunity for us as we get higher content on average on the ablation catheter in that step. And so we remain excited about electrophysiology. It continues to be a strong contributor to our growth. We are growing above the market. As you highlighted, there are other growth factors as well in the business that we remain excited about, and it starts with that development pipeline that gives us confidence in our ability to sustainably outgrow the markets organically.
Craig Bijou: Great. Thanks, Joe. And maybe a follow-up on tariffs and understand that it's not a big dollar amount for '25, and you guys are working to get it even lower. How to think about that impact in 2026? And is there anything I appreciate the comments on what is driving the tariff impact for you guys. Is there anything within contracting or anything that may potentially make '26 a little bit higher from a tariff impact other than just maybe it's running through the balance sheet?
Joe Dziedzic: It's a good question. And if I could predict the future and all the variables that go into that, I'd give you a really specific answer. But I'll just take the current view of tariffs and what's out there now. We would expect 2026 to be really the run rate of what we're seeing this year, somewhere in that $1 to $5 million range. We would not change the estimate for 2026. Meaning, if we end up somewhere in that range this year, I wouldn't expect a meaningful increase in tariff cost in '26 compared to '25. It would be in that $1 to $5 million range. We're pretty confident in the products we sell and how those flow from our plant to our customers. And then on what we buy, I'll reiterate, the majority of what we buy comes from US-based suppliers. And so we're insulated from import tariffs into the US. And we feel good about where we're sourcing from. Again, we're not really impacted by sourcing from China because we source very, very little from China. So feel good about the $1 to $5 million estimate this year. And I would say if we end up with two or three this year or one, it would still be in that cumulative $1 to $5 million when you get into 2026.
Craig Bijou: Got it. Very helpful. Thanks, guys.
Joe Dziedzic: Thanks, Craig.
Operator: Our next question comes from Richard Newitter from Truist Securities.
Richard Newitter: Hi. Thanks for taking the questions. And, Andrew, congratulations. Best wishes to you. So I wanted to just ask, you know, are the conversations or the strategic outlook in the way that you fit into some of your key OEM customers, are they engaging you differently or more aggressively than maybe prior to liberation day, if you will? I'm just trying to get a sense for how this taking a step back potentially accelerates the trend to diversification or vertical integration of supply chains and things like that. You know, anything that you could provide there and in the context of that, if you could also just give us an update on what the backlog trend looks like.
Joe Dziedzic: Sure. So I guess I'd start with you've read what I think most of the OEMs in the industry have said, which is something like until we have greater clarity on the direction of tariffs, the permanency or lack of permanency, or clarity on the amount of tariffs, it's really hard to do a thoughtful economic analysis of what your manufacturing footprint should be. You could go down the path of making meaningful changes in your manufacturing footprint and your I'll call them country pairs you make stuff, where you sell stuff. And then tariffs changed. The amount of tariffs or the tariff and the direction that the tariff is imposed on changes, and you maybe have made a strategic decision and an investment that turns out to be a really bad decision. So it does feel like from what you're reading publicly, what we're hearing is that everyone's being thoughtful about let's see how this plays out. And let's get to what we might consider to be a more stable environment beyond whatever negotiations are gonna incur and trade agreements are gonna take place. So my answer is we're not seeing any rush or race to make any substantive meaningful changes. Of course, everyone is looking at based upon the current footprint, and where things are manufactured, where they are sold, where they are distributed, people are reflecting on within that existing structure what can we do? And I'll just reinforce the industry has a very global manufacturing footprint. Yes. There's plenty of manufacturing occurring in the US. You know there's manufacturing hubs in Ireland, particularly Galway, but across Ireland, there's significant manufacturing in med device. Costa Rica is a large manufacturing location. Mexico, Southeast Asia. And so all of those products that are made all over the world are distributed all over the world. So it really is a globally integrated supply chain with product and materials flowing across the globe. And so these tariffs are disruptive to that flow and that process. You also gotta consider the wage rates. There is a meaningful wage rate differential between some of the locations I just mentioned outside the US and the US, and that is very much a variable that we're hearing everyone talk about, think about, and consider. So I guess my answer is we're not seeing a race to any significant structural changes. But, of course, everyone's looking to optimize within the existing footprint today.
Richard Newitter: Okay. Very helpful.
Joe Dziedzic: Oh, go ahead. Yeah. You asked about our backlog trend or the order book. So we published a number. I think it was $728 million in our 10-K for year-end. We're actually closer to $800 million now. As we continue to introduce and bring new products to the market, we ask customers to place orders for those new products to give us certainty for some period of manufacturing as we ramp up a manufacturing line, hire associates, train them. We want a certain amount of kind of fixed guarantee. We know we're gonna build a certain amount while we're investing in that ramp. That's caused our order book to actually go up closer to $800 million. We still think based upon the factors we've talked about for the last three or four years, that number is gonna come down as we get closer to year-end. We absolutely expect it to based upon the orders for our facility in Ireland that we opened. We were asking customers to place orders eighteen months out so we could better manage the allocation of that capacity. We're not asking customers to place orders that far on anymore. So we know that's gonna come down. We've talked about portable medical and how we finished shipping those last time byproducts in 2025, so we know those orders go away. So strong order book today gives us excellent visibility to the rest of this year. But just remember, we do expect that number to come down for the factors I just mentioned. Thank you.
Operator: Our next question comes from Nathan Treybeck from Wells Fargo.
Nathan Treybeck: Hi. Well, thank you for taking the questions. Just wanted to clarify. On the tariffs, does this contemplate a scenario where the ninety-day pause ends and many of the proposed tariffs go into effect?
Joe Dziedzic: Yes. It does.
Nathan Treybeck: Okay. That's helpful. And then for my second question, just around the PMA launches that you had in Q4, they impacted gross margin in that quarter. As you ramp the manufacturing lines, do you expect this to be a material driver of gross margin expansion this year? And will this offset the tariff impact?
Joe Dziedzic: So the offset to the tariff impact is really us just managing the business. Every year, there are moving parts. There are positive things and negative things that happen throughout the year, and the guidance range we provided on operating profit of $315 to $331 million allows for some of those moving parts. And so in this case, I wouldn't call out anything specific as to an offset of tariffs other than it's a rounding error in the sense of $325 million at midpoint on operating profit. But maybe to add a little color to the gross margin. So the first quarter gross margin was 28.7%. That's up 60 basis points on the full year. Gross margin rate for 2024, it's up 20 basis points from our fourth-quarter margin rate. I know we talked about gross margins quite a bit in the fourth quarter. And like we said last quarter, the gross margin can be impacted by the timing of new product launches. By hiring associates, training them while you're not shipping product yet. You ramp a line, and until you get that manufacturer line up to a certain volume, you've got inefficiencies just baked into the throughput of that line until you get up to manufacturing yields. And so what we saw in the first quarter was an improvement in some of those operating lines and those new products. But what I would caution everyone is that for the full year, I would not take the first quarter gross margin and just add to it from there. You've heard me say many times life isn't linear. Business isn't either. We would expect some variability in gross margins going forward for all the reasons we've talked about over the years. But what I would reiterate is our guidance for the full year is intact. We still expect for the full year to deliver margin expansion at midpoint at 70 basis points on operating margin. That operating margin increase will come from some gross margin expansion. We're off to a great start in the first quarter on doing that. As well as leveraging our operating cost. We've said that for the full year, we expect SG and A to grow more in line with sales, so not as much operating leverage there. That's a result of the acquisitions bringing SG and A in. And then on the RD and E, we would expect to continue to grow the amount of revenues we generate from customers for that development work. So we would expect our RD and E expense line to grow slower than sales, so we would expect to get some operating leverage there.
Nathan Treybeck: If I could just sneak one more in. Just on customer inventory levels, I mean, you've gotten this question a lot, but now I'm thinking about the other way where, given the ninety-day pause in tariffs, are you seeing customers build inventories kind of as a precaution? And could this be a tailwind for you?
Joe Dziedzic: We are not, and we would look at that as purely timing. And if that were to happen, that would be disruptive to our manufacturing processes because what you're suggesting is if customers were to want to order a lot more during this ninety-day pause, they would then order less. Because at the end of the day, we're almost entirely sole source on what we do. We're going to get whatever the end market demand is. And something like you described would simply be timing of when we would be manufacturing and shipping product, which would be inefficient. And we would be having conversations with customers about those inefficiencies. And if there was something meaningful material like that, we would be communicating that to you so you would know the impact that it would have on our sales and the timing of our sales.
Nathan Treybeck: Great. Thank you.
Joe Dziedzic: Thanks for the question.
Operator: Our next question comes from Andrew Cooper from Raymond James. Please go ahead. Your line is open.
Andrew Cooper: Joe, congrats, Peyman. Congrats. Sorry to only get that one earnings call with you, Joe. But maybe just to jump in, on the guidance a little bit. You know, understand it's early, just one quarter in the books, you did a little bit better than what you had expected in January. What do you guys look forward to to kinda let you say, hey. It's time to think about adjusting those ranges given if we think about the 3% days headwind that's not quite what you saw relative to similar to the full year that you had pointed us to for the first quarter?
Joe Dziedzic: So I'll start with we think 8% to 10% reported sales growth, 6% to 8% organic is a strong guide on the top line. And we believe that continues to demonstrate our third consecutive year of growing the markets on an organic basis. On profitability, we baked in similar to what we'd do at the beginning of the year, something in the range of 1.6 times profit growing, 1.6 times as fast as sales. And what we like to see is we like to see each quarter that we make progress on making our way towards that strategic target of operating profit growing twice as fast as sales. Last year, we did that. Operating profit grew 20%. Sales grew 10%. So as we click each quarter and we make progress on that, we would look to incorporate that into our guidance going forward because once you make progress on that, that usually sets a new run rate for you. And so first quarter, we typically look at that and say it's very early. You know, we're one quarter of the year done. This year has some particular volatility with the tariff conversation, although it's not as impactful to us from a cost standpoint. It has taken some effort to understand and manage that. And we're working with customers in every way we can to minimize their cost of tariffs. Based on how we ship or how we manufacture and product gets delivered to them. And so we are working to ensure that we're doing everything we can to minimize our customers' cost of tariffs. And so I would say, as the year clicks forward and we stack up quarters of continuing to do more, we look to then incorporate that into our guidance.
Andrew Cooper: Great. That's helpful. And certainly appreciate it's a noisy time to put it lightly. Maybe just a two-parter neck and then I'll stop there. In terms of M&A, can you give us a little bit more flavor on sort of the early days with precision coding and VSI in terms of maybe most importantly, the conversations with customers around leveraging kind of those additional capabilities you can integrate into what you do for them? And then secondly, just how do you think about the appetite from here knowing where the leverage is, but knowing there's at least one kind of larger asset being talked about in the market a little bit and maybe your willingness to step up for a bigger asset or do something creative from a structure perspective, for something a little bit more transformational in size?
Peyman Kales: Hey. Good morning, Andrew. This is Peyman Kales. Let me take the first question that you asked. The acquisitions that you mentioned. Cardiovascular. As you know, we've made over a half dozen acquisitions in recent years within cardiovascular. So as Joe's mentioned before in the past, we have a very specific roadmap of capabilities. We have clear visibility as to what those critical capabilities are in the core markets that we want to serve. We know exactly which ones we wanna grow organically and inorganically. So the acquisitions that you see are a direct result of that. So the two most recent acquisitions that you referenced are all related to coatings. I'm glad that the opportunity came. Coatings have been on our roadmap of product capabilities for quite some time. And I'm glad that these two companies were available because they add significantly to the core capabilities that we have that allows us to then further vertically integrate and be on our customers' product roadmaps. So look. We're off to a great start. In terms of integrating them, we have already begun conversations with our customers about those capabilities and how we can then serve them in the future. As you know, the product development life cycle is quite long. So we get on early as we have done, you know, six, seven, eight years ago. You see the results now. And we are doing the very same thing with every acquisition that we do, and that includes a coating. I would highlight that we're off to a great start integrating these acquisitions. We are quite seasoned. You know, these are number six, seven, and eight acquisitions that we've done in the past six, seven years. We have a good playbook, if you will, for integration, and that's going well.
Joe Dziedzic: And I'll take the question on the appetite. So I'll start with, we remain very committed to our 2.5 to 3.5 times leverage. We think that's important to most investors and that that's a comfortable range for most investors to be able to own the Integer Holdings Corporation stock. You know, we highlighted that we estimate we have $350 to $400 million of annual capacity to do acquisitions. We don't feel that we have to do acquisitions to be successful with our strategy. Our strategy starts with growing organic above the markets, and that would put us in the 6% to 8% organic growth range. And then we want to supplement that organic growth with tuck-in acquisitions, and tuck-in tends to not be transformative in nature. We obviously, as one of or the largest med device manufacturer in the industry, get an opportunity to look at a lot of the opportunities out there in the space. And we don't feel we have to do any acquisition. As Peyman noted, we've got our technology roadmap that we continuously execute on and monitor the marketplace. We remain committed to our strategy. And within that strategy, our focus is on leverage. Or maintaining that leverage. And if you look at our guidance for the year, if we just look at the EBITDA guidance we provided, look at the debt levels that we've guided to, we're at the low end of our range by year-end. And so by year-end, you can look at us having that $350 to $400 million capacity by year-end. And so we'll be deploying that in the most return on investments focused way that we can consistent with the acquisitions we've done.
Andrew Cooper: Fantastic. Appreciate it.
Peyman Kales: Thank you.
Operator: Our next question comes from Matthew O'Brien from Piper Sandler. Please go ahead. Your line is open.
Amanda: Amanda on for Matt. Thank you for taking our question. I guess, first, we wanna touch on the tariff. You know? Fully appreciate that you are primarily sourcing from the US. You know, could you talk a little bit about, you know, the potential that your suppliers see any impact from tariffs and raise prices? You know, how long would it take for you all to then raise your prices to customers? And, you know, are you seeing any of this happen yet?
Joe Dziedzic: That's a great question. And we have been digging deep into our supply base to see. We have not seen or heard from any significant way from our suppliers that they are incurring tariffs. To your point, that doesn't mean that as you go deeper and deeper into the supply chain that that's not occurring and that it won't potentially make its way there. But if it's not surfacing and bubbling up right now, it's probably very deep in the supply chain, and that would point to it being relatively small in the context of what we buy. Again, the majority of what we buy comes from US-based suppliers, and we're just not hearing or seeing suppliers racing to us talking about tariff costs that they're incurring. Obviously, we will be working to manage that. And at the end of the day, it is our belief that any of these kinds of costs ultimately need to be passed all the way through to the end consumer so that the ultimate supply chain ultimately gets this cost all the way to the end. And so that's what we would absolutely work to do.
Amanda: Great. Thank you. And I know you mentioned a growing order book. I think you referenced $800 million now. I'm wondering if you're seeing any customers trying to pull forward orders ahead of the tariff.
Joe Dziedzic: We are not seeing that, and I'd reiterate that if we did, we would view that as pure timing. And we would be talking to our customers about the inefficiency impact that would have on our operations. Because we are primarily sole-sourced in everything we do. And that means that whatever the ultimate end market demand is is what we're going to get. And if customers were to pull things forward in order to avoid a tariff, that would create inefficiencies for us. We would have to adjust our manufacturing potentially to output more in the short term and less in the medium term, and that inefficiency would be a conversation that we would have that would have to be balanced against the impact of tariffs. So we are not seeing any significant or meaningful change in orders or timing of orders that would indicate that behavior.
Amanda: Great. Thank you. And if I could sneak in just one last one. I know you've previously mentioned renal denervation as a target market, which is a hot topic right now. I'm just wondering if you can give any update on any demand you're seeing and how you expect that market to contribute to your growth rate.
Joe Dziedzic: I wish I could give you tremendous detail on that. It's a market that we feel our existing capabilities match up very well with the needs for that therapy. We're excited for the potential impact on patients to bring that therapy to the market. We highlighted it because it's now getting closer and closer to being commercially available on a wider scale. And we do think that has the potential to have a meaningful difference for patients, and we look forward to supporting our customers in any way possible to support bringing that therapy to the marketplace.
Amanda: Great. Thank you so much.
Joe Dziedzic: Thank you for the questions.
Operator: Our next question comes from Joanne Wuensch from Citi. Please go ahead. Your line is open.
Joanne Wuensch: Congratulations to Joe and Peyman. Amazing. Thank you. Two quick questions. If you were shipping days, did you quantify the impact of that on the quarter?
Joe Dziedzic: It was about 300 basis points of impact on the first quarter. And because last year was a leap year, I think there's one full day impact on a year-over-year basis. And the 300 basis points partially unwinds in our third quarter. Our second and fourth quarter, we expect to be comparable number of days year over year with a slight offset in the third quarter.
Joanne Wuensch: Thank you for that. And a lot of focus has been on how does the company as an OEM manufacturer fit in the tariff regime. But I have a slightly different question, which is should we when we could we move into a recessionary environment, how does OEM manufacturing work in that kind of situation? I didn't cover the company previously back in '08 and '09, but I'm sort of curious to think about that environment and OEM manufacturing and what you can do during that period. Thank you.
Joe Dziedzic: Sure. So I'll start with we have the benefit of being in an industry that's very recession-resilient in treating patients. And the vast majority of our business supports therapies that we view as not elective therapies. And so we feel like we're pretty well insulated from that. The analysis we've done, probably you and others as well, when there is a recession, whether it's US or global, you tend to see slower growth in med devices, but still growth. I mean, our analysis indicates maybe a hundred to 200 basis points of industry-wide slower growth. And so we are in the industry. We're not immune to the trends in the industry. We've obviously been very focused on accelerating our growth by concentrating our new product development on those four targeted faster-growing markets where our customers are bringing new therapies that expand the available market, treating new and undertreated patients. And so that accelerated growth is what we're working to participate in. So we believe there would be an impact on the industry and that we would feel the ripple effect of that. So I'd say we would likely move with the industry on an aggregate, but we feel we're pretty well insulated because most of the therapies that we're supporting customers on are not elective in nature. So we feel we're pretty well protected by a potential recession relative to most other industries.
Joanne Wuensch: Two think that people will send out or not send out. That's not the right word. Send to you more OEM products manufacturing in that environment. Or maybe pull more in-house? I don't know. I'm trying to figure this out. Thank you.
Joe Dziedzic: Sure. Sure. We think we see our customers continuously looking to do more outsourcing. Our customers are great at therapy development and commercialization. They can be great at manufacturing, but when they look at the returns on their investments, getting a new therapy to market first and getting that first-mover advantage and the pricing that comes with an innovative therapy that treats patients who are currently undertreated or untreated, that's the single biggest return for our customers and drives their growth. So they want to allocate all of their capital towards new therapy development. They obviously have a very large commercial infrastructure that makes that brings that therapy to market. And our expertise is in the manufacturing and the process design to be able to manufacture at high quality competitive cost. And bringing that to helping customers get to market quickly. And we think our vertically integrated offering that we continue to add capabilities to a very global manufacturing footprint that reflects the industry manufacturing footprint gives them that option to partner with someone like Integer Holdings Corporation, who is, in most cases, our customers' largest supplier. We have anywhere from thirty to eighty years of experience with all of our customers. So we think we're uniquely positioned to be able to help customers with their desired outsourcing. We continue to see that outsourcing trend play to our strengths.
Joanne Wuensch: Thank you so much. Have a great day.
Joe Dziedzic: Thanks, Joanne.
Operator: Our last question today will come from Suraj Kalia from Oppenheimer. Please go ahead. Your line is open.
Suraj Kalia: Good morning, gentlemen. Joe, congrats and Peyman, same to you too. Joe, one question for you, and if I could sneak in two questions for Diron. For your cardiovascular group, Joe, should we still think about EP as roughly one-fifth of that segment? Just trying to determine the sensitivity of the segment's growth to PFA growth and anticipated market share shifts as the competitive wars heat up. And, Diron, quickly, if I could, in the interest of time, for you, AR took a significant step up in the quarter sequentially. Any key drivers, especially credit terms? And, also, you know, a lot has been discussed about tariffs. Fairly so. How do you all look out in terms of FX buffers or lack thereof? Gentlemen, thank you for taking my questions.
Joe Dziedzic: So, Suraj, thanks for the questions. I'll start. I think the cardiovascular segment grew 17% in the quarter, 11 or 12% organic. Somebody help me with that. More than 11% on an organic basis. So we think we delivered very strong growth in cardiovascular. That is what got us to the high end. So we think that not only but the other submarkets that we're very focused on accelerating our presence in and winning new development programs. We think cardiovascular is delivering. That's our fastest-growing segment. Three of our four target growth markets are there. So we feel like we're delivering and we're managing the total to deliver what we think is very strong growth for the year at 8% to 10% reported, 6% to 8% on an organic basis. And I'll let Diron tackle the other two questions you asked, Suraj.
Diron Smith: Thanks, Suraj. Yeah. On accounts receivable, I would say nothing really surprising there. There's a couple of drivers on the AR balance move versus year-end, and that is primarily acquisitions as a piece of it. Again, so we had the BSI and the Precision coding acquisitions that drove a bit of the increase. And then the other piece is really timing of how the sales fall within a quarter. So if you look at the prior quarter, you're gonna have a lot more sales in the first couple of months of the quarter, less at the end because of the holidays. And when you look at the first quarter, you'll have a bit fewer in the first months and more of the sales in the latter half of the quarter. So that drives a little bit of a movement on the accounts receivable. But underlying, foundationally, nothing really changed with AR. And overall, we feel that we have a very, very strong credit profile with our customers, and collections are still remaining strong. Related to the FX buffer, I would say, first of all, we don't really think about FX as being a buffer per se to the tariffs. They're fairly unrelated in the direct sense. As we look at FX, as you can imagine, with us being a global company, we do transact in multiple currencies. With the two biggest ones being the euro and the peso in Mexico. We implement a hedging process, some natural hedges, some using forward contracts. And we manage that through more of a rolling dollar cost averaging method. So it helps mute the impact of any volatile movements in foreign exchange in any particular period. So the year, we do see a bit of benefit coming from the euro, and we see a bit of pressure coming from the euro. And we see a bit of benefit coming from the peso, but nothing that is large and immaterial to our overall results.
Suraj Kalia: Appreciate it. Thank you.
Diron Smith: Yep. Thank you.
Operator: We have no further questions. I'd like to turn the call back over to Sanjeev Arora for any closing remarks.
Sanjeev Arora: Sure. So thank you, everyone, for joining today's call. You can access a replay of this call as well as the presentation on our website. Thank you for your interest in Integer Holdings Corporation, and that concludes today's call. We look forward to talking to you next quarter.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.